Juha Rouhiainen: Good morning, and good afternoon, ladies and gentlemen. This is Juha from Metso Outotec Investor Relations, and I want to welcome you all to this conference call where we discuss our First Quarter 2023 Results, which were published earlier this morning. Our agenda is the usual. The presentation will be given by our President, the CEO, Pekka Vauramo and CFO, Eeva Sipila. And after the presentation, we'll be taking your questions. And during this call, we'll be making forward-looking statements, and that's why we have the disclaimer at the start of the presentation. And one more thing, we'll try and keep this call and limited to 60 minutes because we have our annual general meeting of shareholders following this call. So, let's be efficient. And without further ado, I'll give it to Pekka to start the presentation. Please go ahead.
Pekka Vauramo: Okay, thank you. Thank you, Juha, and welcome on the line to this call. A few words about the quarter before we go more into numbers and actual performance, but it was a strong quarter, strong demand, especially in mineral side, strong demand for both equipment and for services, and just like we said after the fourth quarter, when commenting on our service growth at that moment that we really didn't see any trend. In that one, we still saw the services demand being on strong level. And this proves it out that it wasn't the case. We also delivered high sales growth and regard high profitability first time exceeded to 15%, adjusted a bit during the quarter, and that is of course a very, very good result, and important milestone for ourselves, as well, and for the entire organization. We completed also the strategic review of the metals. And out of three businesses inside the metals, we will keep the smelting business line, but the two other business lines, we will divest. And we have already initiated the preparations for that one. We also concluded final settlement for the Saudi Ilmenite Project, that's full and final settlement that we have done, and we believe that we will be able to complete the settlement within the existing provisioning that we have in our books. So, those were the highlights of a strong quarter that we had in the beginning of the year. Our group figures orders at €1.533 billion, that's 8% growth. In fact, if we trust that one with some orders that we booked early in last year from Russia, the growth was 10%. So, 2% difference would come from if we adjusted for Russia, those orders. Sales growth 22% at €1.418 billion, and good growth in EBITDA, 37% growth in EBITDA, and the actual number was €215 million. That's corresponds 15.2% of the sales. Operating profit, 197, corresponding 13.9, and that translates then into earnings per share of €0.17 and cash flow from the operations, €110 million. So, that was on group level, the numbers. And then, when we look at our segments, we really had an excellent quarter in our aggregates record high profitability which came from a strong order backlog that we have in the aggregates, but orders on lower level than last year, that was what we had. We had also commented on our market outlook that we see North American market continuing to be strong but softer European demand. Those are the two main markets that we have. But we are happy with this 300, and almost 380 million order bookings that we had during the quarter. We have some signs in the rest of the world of activity picking up but not really yet contributing to the numbers, and here I mainly refer to China, some activity in India as well, and I have to add also Brazil on the list where we have seen some interesting developments end of last year, early this year. Sales, we delivered from the backlog 363 million, good growth year-on-year on that one. Services share being a 31%, and that is clearly area where we in medium-term and long-term need to address and grow more forcefully our service is in the aggregates. But then, the real highlight is the profitability, 66 million of Adjusted EBITDA, translating to 18.1% margin. And it's really strength of the U.S. market and overall improved gross margin, good management of inflation during and after the pandemics, so, good management of the costs as well and good execution of the acquisitions. That's the basis for very good and very strong performance in the aggregate side. Then moving to the Minerals side, very strong order bookings, strong order bookings both in equipment orders and services equipment orders grew by 11% and service orders by 29%. Typical for this quarter was by the way that we didn't book any bigger project orders, and we are very happy with small orders because of the risk profile is much, much lower in them, but still a good growth year-on-year on that one. The Sales, 934, strong growth in equipment 21% and even stronger growth in services, 33% growth, and services share is now 61% in minerals, and there as well, we have potential to go beyond this one in medium and longer-term. Adjusted EBITA, 163, really growth from €108 million last year at the same time marching at 17.4, shows that we do have potential in our minerals to those levels that we have communicated to the market earlier as our target levels in long run. And of course, sales growth was important here, both equipment and services side, and also good management of costs and good management of the inflationary pressures throughout the past years and quarters are on the basis of this delivery. Then the Metal segment, somewhat disappointing orders, but lack of bigger orders is the reason for this fund trading activity has been good in metal side as well, and this is more about timing of the orders than anything else. And we should not really translate this into that markets have turned down. It's just timing issue and metals dependence on relatively higher dependence on big orders. Sales, €120 million, last year, 104, and we have a strong backlog still in metals, and that's where the sales then mainly came from. Services share, very low, 12%, as we have been in our metals all along. And that's one of the reasons why we ended up in reviewing the businesses on strategic basis and have concluded the way how we have communicated. Adjusted EBITDA, €11 million translates to EBITDA margin of 9.1. Last year, we had 9.2, so no major difference in that one, good volume growth from last year though, for metals as well. And then, I'll hand it over to Eeva. I'll come back then for a couple of slides once Eeva finished.
Eeva Sipila: Thank you, and good morning, good afternoon on my behalf as well. Our CEO, Pekka, presented already the strong operative figures, perhaps a word on the group items in Adjusted EBITDA. We had €24 million of group items related costs in the quarter. This is clearly higher than normal. Approximately, half of this figure was a result of timing of system development and bonus costs. So, these costs came early in the year and into the same quarter while being unrelated to each other as such. We continue to estimate that the full-year figure for group items included in Adjusted EBITDA will be around 35 million. So, the pace of the costs in the coming quarters will be much lower. Adjustments were small in the quarter. We recorded minus €2 million in the quarter from capacity related adjustments. Net financial expenses of €12 million were down quarter-over-quarter and more so year-over-year. Our effective tax rate for the first quarter was at the lower end of our target range, standing at 25%. Our earnings per share for continuing operations were $0.17 for the quarter. Moving to our balance sheet, total assets are up 80 million from the beginning of the year. Net debt at the end of March was €673 million, slightly down from the end of December. The next slide focuses on the element, really that is behind the changes on our balance sheet and namely the working capital. Networking capital at the end of March was up to €709 million. This is up some 100 million from end of December. The comparison to last year, end of March, visible on this slide is a very tough one, as that number is prior to a lot of inflation and material sales growth since. Sequentially comparing, we saw the trend of the second-half of 2022 of supply chain and logistics pressures easing, continuing in the first quarter of a 2023. This enables us to continue downsizing buffer stocks. However, with 22% sales growth year-over-year, it does clearly add to work in progress. The seasonality of our aggregates business is also such that the pipeline is full at this point of the year. However, as we have said earlier, during the course of the year, the slowing growth in the business will start to reduce working capital. We have changed the calculation in the graph on the left-hand side where the line now is calculated based on average of quarterly networking capital and revenues rather than just calculating one balance sheet figure over earlier 12 months sales. This way, hopefully, we better catch a similar timing window for both elements. Juha and I are naturally happy to take further feedback on this or any other material in this presentation. Cash flow in the first quarter was an improvement year-over-year, but down from the very good final quarter of 2022. Net cash flow from operating activities was €110 million. Thanks to strong profitability, but affected by a negative change in networking capital of 127 million. As mentioned, we do continue to expect, especially our aggregates business, to start contributing to a better cash flow going forward. Moving to my final slide and main points on our financial position, the main point to highlight happened actually in April after the end of the quarter when S&P Global upgraded their rating. We now have a BBB rating with a stable outlook from them, in line with the BBB, Aa2 assigned by Moody's already two years ago and reconfirmed by them just this week. We made no funding transactions during the quarter and our available credit lines are unchanged. Debt to capital is down from the year-end and at the end of March was 30.5%. So, with that, I would hand it back to our president, the CEO, Pekka, please.
Pekka Vauramo: Okay, thank you. Thank you, Eeva. Just a couple of slides here, just update on where we are with our ESG development, we continue to grow our Planet Positive sales. The growth year-on-year was 45%. So, very solid growth, and it shows that demand is very strong for more sustainable product solutions and technologies. We also continue to introduce new products thickness, green steel, DRI, smelting pilot is progressing. That is interesting new development in there. And by the way, the smelting business that we retain as a part of Metso Outotec offering is part of - or this development is taking place inside the smelting, meaning that there is potential for the future as well in this area. And we are expanding our Planet Positive filter production. Filtration as a business is growing very fast at this moment. Many of our customers' mines are preparing to filtrate also the tailings, not only the concentrates. That has been the case in the past. And filtration is very attractive business, both for equipment and for the aftermarket. Internally, we have taken also many, many actions in our own footprint. Our renewable energy production from our own solar panels is up 30% year-on-year. We basically are equipping every plant. We are equipping also things like service containers that we are using at our service contracts or LCS contracts with customer sites. They are equipped, being equipped with solar panels and we are taking many actions in this area, big actions and small actions, in order to improve our own CO2 footprint. We have been also very actively engaging our suppliers in getting the science-based targets approved, and we're making great progress in that area. We're working also with our people and with our culture. We are measuring the culture and the engagement through our surveys on quarterly basis. And we are on all-time high level on our employee engagement. And we benchmark ourselves to nearly 100 companies, international companies that are industrial companies like we are, and we are amongst the top 10% of our benchmark and peer group at this moment with that one. So, it's a good position, even when there's lots of uncertainty and movement in the labor market at this moment. We have also introduced to sustainability link to financing program for our suppliers and we have launched that one recently, and that's naturally for the suppliers who have committed themselves to science-based targets. So, many things happening here and the area of sustainability is clearly guiding our development into the future, and then the guidance where we say the market outlook that we expect the overall market activity to remain at the current level, including the normal seasonality in the aggregates market. We have added the latter part into the guidance because it serves as a reminder that our aggregates business is cyclic business, and where we have the most active part is really in the first-half and second-half we normally see activity dropping our customers, they want to be ready for the summer season. And then, when the winter is approaching, then the investment levels are lower level. But this is our first quarter, good strong quarter; many thanks to our people, everyone who has contributed. We are about 17,000 people now globally and create contribution from the entire organization globally to these results.
Juha Rouhiainen: And now, Operator, we can open the lines for questions.
Operator: [Operator Instructions] The next question comes from Klas Bergelind from Citi. Please go ahead.
Klas Bergelind: Thank you. Hi, Pekka and Eeva, Klas from Citi. So, my first one is on the service growth, looking at the orders. We had this tough comb for onsite services last quarter. At the time, however, Pekka, you were pretty confident that service orders could grow in 2023, and here we are off to a very strong start. I'm just trying to understand what is driving this. Is this onsite service all of a sudden accelerating again? Is it new annual contracts? Is it spares and wears? Are we seeing certain commodities driving it? If you could help us with the drivers and to what extent did the improvement here is sustainable next couple of quarters [of starter] (ph)?
Pekka Vauramo: Yes, we are at good speed in our services. I would say in all product lines. We might see some novation of annual contracts in the beginning of the year, but that really doesn't explain the full peak. I think it's a strong robust activity across the board, across the markets as well in our services. So, this is how I would put it, I don't have any further insight. Eeva, anything that you would comment here?
Eeva Sipila: Well, maybe of course this is a very, very strong number indeed, and perhaps you can then draw a bit the conclusion that some of these orders perhaps could have come in December now came early this year. And certainly, we had a very strong March, which in my view I think indicates that the April being a shorter month with Easter, so partly probably taking some orders from that. But obviously, I think this clause what's driving is the fact that the metal prices are strong and for our customers are very focused on getting everything out, what they can. And it is very much of course around copper, very much around the battery metals. So, nothing really new from that point of view, but just a very broad focus on productivity and really getting every possible amount of material processed.
Klas Bergelind: Great. Then, my second one is on the margin. You know going through the Citi community here ahead of the summer like you always do and given the solid trading, you're probably thinking about the next level for your margin target. You obviously have peers and aggregates like Sandvik delivering margins of 16%/17%. You've done a higher margin this quarter. Your margin targets in minerals are already pretty ambitious there at 20%. But can we talk about when, Pekka, you think that you will have an update here for the market on potential new targets, X metals, and if you would give us a little bit more of a horizon of these ambitions this time, only you've said for example that the margin target is more of the cycle. And so, yes, that would be helpful to get some clarity on that.
Pekka Vauramo: We, of course, it's a boards review after which we then may update the [guide] (ph) or the margin targets, but we still don't know exactly what the timing of the metals carve out as such or those businesses will be. At one point, yes, we will report them, start reporting them as a discontinued business, and that is of course the natural point when we do the mechanical upgrade of our targets. If it then happens sometime later in the year, we might combine that one then with the upgrade of the targets, if the board so decide. But we will be transparent then what is the impact of the businesses to be divested on the margin and then what is the actual and real increase of the targets. In what shape and four of the targets will be -- I mean, the future will show us that then what the current targets are over the cycle and we are of course reviewing that one as well, that is the right way of setting the targets.
Klas Bergelind: Good. My quick final one is just on product mix because obviously there are some people out there that think that when you deliver out more equipment versus service, that will start to eat into the mix in the margin. But obviously, Planet Positive at least historically has been higher [OV] (ph) margins and a higher share of orders relative to sales. I'm just wondering whether that gap is now closing and whether product mix in minerals help them out in this quarter and whether that will help the margin going forward as well as you invoice out more planet positive orders out of the backlog.
Pekka Vauramo: They do contribute to our profitability, but it's a fact that over the years, over the past couple of years despite of inflation, we have been able to improve our margins. We have taken actions both in a cost side. We continuously improve. We have this year cost reduction or productivity improvement plan as we call it internally ongoing. We will have it next year. We had it year before. So, that contributes to our result. And naturally, we have been taking actions in the pricing side as well in those areas where the market pricing has allowed us to make moves, and the end result is that we've been able to improve the margins across the board.
Klas Bergelind: Thank you.
Operator: The next question comes from Antti Kansanen from SEB. Please go ahead.
Antti Kansanen: Hi, guys, it's Antti from SEB. A couple of questions regarding aggregates actually and follow-up on the earlier discussion on margins, I mean, you've been above 15 for a couple of quarters now, and now a very strong 18 at Q1. So, how should we think about this? Is there anything extraordinary now behind this Q1 number, leading to deliveries out of backlog as the supply chain has been easing that there's been an unfinished good sitting in there which you are now releasing? I mean, what I'm trying to guess is that is this as good as it gets or have you seen a structural improvement on the profitability profile of the business, what can it actually do longer term? So, may be a discussion around that, please.
Pekka Vauramo: If we take a longer-term view on how the business in aggregates has developed, I mean, this is - of course, this current jump seems like a high one, but it's a continuation of good work that has been done over the years in aggregate. I would say starting from McCloskey acquisition, good integration of that one, some other smaller acquisitions that we've done as well, and they are all performing well. And the integration has gone really well into Metso Outotec aggregates business. So, altogether, I would say that that is the biggest contributor. Then, we felt and we sensed that the inflation early on when that one started to sneak into business, that was in fact during the third quarter of 2020. And we initiated right away the actions because we foresaw that we cannot anymore look at the rear-view mirror where we come from when it comes to costs and we needed to go to the future costing model, we needed to take actions to control our costs which we did well during the pandemics, and then naturally pricing is the other side. And then, when activities picked up in end of third quarter, end of fourth quarter of 2020, that was really good timing with all of these actions and effort, and those good times have continued until very recent times. So, I would say, if there's anything extraordinary, it's a good execution by our aggregates team over the period of several past years. And this is what the result is now there, nothing extraordinary during the quarter.
Antti Kansanen: Good. So, in terms of gross margin, you feel that your pricing is now aligned with cost equation, not that you're getting some type of extra benefit for a quarter or two.
Pekka Vauramo: Yes. Well, both actions work on the cost side and pricing side are behind this development.
Antti Kansanen: Okay. And then, a couple of questions on demand, I mean, first, if we can talk about Europe, obviously, the comparison period is still in January and February, so it's a tough one. But sequentially, have you seen any trends in the European demand? And then, the second is on the services, which has been declining for a couple of quarters now. Is that more of a European business on the equipment side? Does that exporter explain why the service is a lagging behind a little bit now?
Pekka Vauramo: It is very, very much a European thing and maybe in a service's side there is to some extent the destocking that we see with our dealers, I mean, they feel that the stocks might be full of wear parts, for example, and we've seen some of that one but not to the level that it would be alarming.
Antti Kansanen: And then, on the equipment demand in Europe, are we just continuing with the same or trends?
Pekka Vauramo: Continuing on the same sentiment where we have been for the past several quarters now in Europe.
Antti Kansanen: All right, thank you, that's all for me.
Operator: The next question comes from Christian Hinderaker from Goldman Sachs. Please go ahead.
Christian Hinderaker: Good morning, Pekka, Eeva, Juha. Thanks for the time to take questions. I want to start about pricing, maybe. I wondered if you can quantify or at least comment on how much of the top line progression has come from pricing. And then, also you talked about successful pricing, cost management is providing that boost to gross margins. I just wonder whether we should think about now a structural step up in incremental margins and begin modeling high drop throughs in terms of the price cost dynamic for the rest of the year. That's my first question. I'll come back to the other two.
Eeva Sipila: Yes, Christian, I think the pricing really there is no one number as Pekka was answering the previous question. So, in fact, it's really been a process of a couple of years where we've been moving, I think. Well, ahead of the curve of the inflationary pressures and that's then being very visible in the margin development. And obviously, we continue on that. Clearly, there is less inflationary pressure in the materials, still continues on the labor side, if we look at just this more recent experience. And then, of course, as you can imagine in Europe, in aggregate, so obviously we are in a situation where customers start to be much more price sensitive due to the overall business situation. So, you have to move in all directions all the time. And I think the best success is really around being ahead of the curve and then compensating and the backlog equalities is a such good, but I think the - I said the biggest spikes are in a way behind us that was really pretty much at this time, the previous year when things were very much going through the roof when the war started and that really did a lot of volatility in the market. So, I don't necessarily - not quite sure what you mean with a step up, but I don't see any additional step up per se right now. I think this is really a lot of hard work over lengthier time that's demonstrated. And obviously, we have all intention to keep delivering on now that we're starting to enjoy the exceeding 15%. So, we like being here and they intend to be on this side.
Christian Hinderaker: Thank you, Eeva. You mentioned I guess wage inflation. You had an 8% increase in headcount year-on-year. Obviously, the 22% growth in revenue implies some productivity growth. I guess thinking back to a few months ago you were talking about wage inflation running at much higher rates than was historically the case. I think labor is around 21% to 22% of your cost base. I just wondered if you can talk about the cost changes you're seeing both as it relates to inflation, I guess per head, as well as some of the efficiencies and cost actions that you've mentioned in the call. Thank you.
Pekka Vauramo: Yes, we have dimensioned our continuous improvement of productivity improvement plan that we do annually, which should correspond to roughly the labor inflation. And that labor inflation including this year, it's roughly 50 million that we see at this moment. Of course, there's a lot of movement in the labor market and it's not guaranteed that it will stop at that amount, but we have actions already in place for this year to reduce our cost base at least for that amount, and that's a way how we want to look into the future and we want to install that culture of continuous improvement, and we already planning areas for 2024 at this moment where we're going to take some of these actions, but it is a multitude of actions. Entire organization is involved, all our businesses, all our market areas are involved, and it mainly consists of small streams of really different things. It's a mixed bag, but we are applying same methodology that we used when integrating Metso and Outotec. It's a gate model where we start from idea, we verify the idea, we established action plan, we follow implementation of the actions, and then we verify the results. So, gate model, very simple model but requires a certain culture that it can be applied. We have that one and thanks to integration process that we went through and we don't want to lose that culture and those capabilities from the company.
Christian Hinderaker: Thank you both. Maybe then to finish I guess just to follow-up on Klas' earlier comment with regard to order intake, in particular in minerals aftermarket, in the first nine months of last year, you're averaging 20% organic growth, that declined around 10% in 4Q, I knew at that stage we're talking about normalization in refurbishment and large-scale activity as possible driver. You've then had more than 30% growth in Q1, and they're effectively guiding that that current run rates which bear in mind is 26% higher in euro terms than the average of the last 12 months is the outlook for the coming quarters. Just interested to understand what you think was behind the softness in Q4 and then whether Q1 is now the new normal? Thank you.
Eeva Sipila: Well, I think first to be very clear, our outlook guidance is on market activity not our orders per se. And clearly, we see market activity continuing strong has been that in mining for quite some time, and with the visibility we have had, we don't see any change on that. Then, orders of course it can always be a bit timing dependent and like you rightly say comparisons obviously, vary as well. So, the percentages are always a bit tricky to comment on. I think as such we have no reason to change our earlier comments that really there was a post-COVID, a very high degree of refurbishment and bigger retrofits, and right now we are busy delivering those and the customers busy ramping them up. So, quite naturally, that slowed down a bit late last year and then again, the opportunity on productivity is still great, so we don't expect any long-term issue with that but it's just a bit how also customers able to digest certain investments. And perhaps it certainly is a very strong growth number now in orders in this first quarter, as I was indicated not necessarily expecting something similar as a percentage, but again I said activity to continue good on this very strong level.
Christian Hinderaker: Understood, thank you.
Eeva Sipila: Thanks.
Operator: The next question comes from Panu Laitinmaki from Danske Bank. Please go ahead.
Panu Laitinmaki: Yes, thank you. I have three questions. Firstly, on the mineral's equipment orders outlook, you already commented on the aftermarket, but what about the equipment, can you describe like what you are seeing in the pipeline? Is it more small orders or big ones, and any comments on what you are seeing?
Pekka Vauramo: Yes, the small order inflow is very convincing currently in minerals. There are bigger orders also in the pipeline or bigger potential orders in the pipeline. But like we always said, timing of these ones, it's always difficult to forecast when they come in and for sure we will see some of those coming in in this year. But the same talking the inflow of small and medium size orders is really robust at this moment and we like that profile of orders because there is profile, it's totally different, it's mostly product sales and the project specific tailoring is minimum in the smaller orders normally.
Panu Laitinmaki: Thank you. Secondly, just on the mix of orders in terms of metals, I think you previously gave us a chart showing the exposure to copper, battery metals and so on. Has this changed a lot from 21, which is the last year when you gave this chart, just thinking how has the share of copper increased and the battery metals?
Pekka Vauramo: Yes, I wouldn't say that from last year the change hasn't been that big, but we see and that same comment what I remember commenting after the fourth quarter was that we do see more and more lithium and these really the battery metals, battery grade nickel projects coming up. So, that is something where we at least see a number of projects growing and a lot of interest and a lot of activity in them. Copper as such is a major item currently so is gold as well, what is in the equipment side and project side almost nonexistent is I don't know or at this moment a very little activity there in pelletizing there is activity and we've announced several orders lately or lately on pelletizing, but nothing on mining site referring to crossing and grinding on that part of the combination part of the process, but copper, gold, battery, metals.
Panu Laitinmaki: All right, thanks. My final question is on the margins. Can you comment on the profitability of services and equipment in minerals and aggregates? I mean, without going into numbers, can you comment on the levels? And reason for asking this is that you actually achieved this very good margin in aggregate while the services sharing that business came down to 31? And then, in minerals, it was about double that, but it had lower margin as a whole. So, just wondering how does the split between the equipment and service profitability in these divisions?
Eeva Sipila: Sure, sure, Panu. So, like we've commented early on, so we've been able in aggregates to really do a very good work for uninterrupted good work on the modularization and really on the product profitability, also a lot of footprint changes on what we produce, where, and that really is a major lever in the profitability improvement because we, like you rightly point out, the service growth is not behind because we really haven't seen a service growth in that business. And hence, I think it's fair to say that we believe we are really at the top end of the companies when thinking of this type of a productized business. Then, again on minerals, we've said that we've obviously been much more busier with the integration. And then, once there's a lot of good work on going on the modularize and productization of the offering, we have still much more work to be done. And hence, the difference between aftermarket profitability and equipment profitability is still material, but we're working on both. So, it's really improving on both elements rather than [indiscernible] chasing one or the other, so to say.
Panu Laitinmaki: Okay, thanks. Can I just have a follow-up? So, clearly aggregates like equipment profitability is higher than minerals at the moment, but is the service profitability similar?
Eeva Sipila: Typically, in a business where customers are more 24/7 focused, obviously the downtime cost is much higher in mining than aggregates and that does impact customer's willingness to pay for avoiding downtime. And then, of course it puts tougher requirements on us to deliver, but that explains why the aftermarket tends to be more profitable in mining.
Pekka Vauramo: And they are structurally different. The different businesses, aggregates most of the go-to market, the most common is wire distributors and then we do sell spare parts and wear parts to distributors naturally with the discount, which means that upfront margin is lower, but at the same time we don't engage ourselves to professional services labor component, it's much lower without our dealer business. So, therefore it's quite difficult to compare them. We participated the aftermarket with the most profitable part of our service offerings, spare parts, the aggregates business while we have a full offering in the mineral side, but the volume is much greater and percentage of aftermarket is much higher there.
Panu Laitinmaki: Okay, thank you.
Operator: The next question comes from William Mackie from Kepler Cheuvreux. Please go ahead.
William Mackie: Yes, good morning. Thanks for the time, Kepler Cheuvreux. But my first couple of questions relate to aggregates please. From how you observed the trends in Q1 and looking to Q2, how would you describe the distributor inventory levels by region and perhaps the distributor behavior in Q1, if there was any pull forward of these spares and consumables or equipment, and perhaps how you're reading the distributor stock levels and how they may behave going into the second quarter or the second part of the year? And then, my second question again relates to aggregates. So, just to really understand what you're communicating, the success of all of the work on the pricing actions and cost actions and the benefits of perhaps a normalization of the supply chain, we should be anticipating you can sustain this level of profitability for at least the foreseeable one to two quarters ahead. So, it's how we should perhaps specifically think about that margin level that you've now achieved.
Eeva Sipila: On the distributor behavior, I think that there is a regional difference and I think so there is not necessarily a big difference between distributors and customers per se, they are both much more cautious in Europe and both customer groups are more bullish in North America. And this very much relates to the underlying demand and availability of funding and the whole picture. So, in Europe, there is clearly visible caution and said volumes - in unit terms, volumes are clearly down from a year back, just the fact that inflation in a way when we report in euros masks part of that volume drop. And obviously, it means that they are more focused on their inventory and so are we because it's not in our interest either to push anything into a pipeline that doesn't move. So, we also need to manage our risks very much in the same way as we did in 2020 when there was a caution in the market. And then, to your question on aggregate, so yes, indeed, when we are able to really run the operations on a full level, we think that there's nothing extraordinary in the quarter. But of course, there is uncertainty now on that volume outlook towards the second-half of this year. And that will then obviously have an impact on how well and efficiently we are able to run the operations.
William Mackie: Thank you. And my brief follow-up again, sticking with aggregates, when you look over a longer time period and take into account the success of pricing, I mean, in aggregate, if we were to look at the changes that you achieved in equipment pricing over that two-and-a-half year period, what price increase across the group should we be thinking of? Is this 10%, 15%, 20% in terms of the quantum?
Eeva Sipila: It's more than any of those numbers.
William Mackie: Brilliant. Thank you very much.
Operator: Please state your name and company. Please go ahead.
Unidentified Analyst: Yes. Hi, [Nick Helston] (ph) from RBC. Thank you for taking my questions. And my first one is a follow-up on the result of the strategic review of the metals business, and I was just wondering if maybe without necessarily being specific about the exact numbers, if you could give us a rough idea of the margin differential between the smelting business that you're keeping and the roughly €300 million sales in the metals business that you're carving out? Just looking at the all-year numbers for the division that were close to 11%. So, it does imply that the smelting margin must be quite a good number and correspondingly the margin for the other businesses is probably quite low. Thanks.
Eeva Sipila: Yes, Nick. So, maybe the best way to answer your question is that eventually when our preparations for the divestments advance enough, the two businesses for sale will move into discontinued operations and smelting will then be reported as part of the minerals segment, and we don't see the smelting business having a negative impact on the mineral segment margin. So, it fits well there, which then tells you that when the total metal is around the 10%, then obviously gives you an idea on the profitability of the two other ones.
Unidentified Analyst: Thanks. That's really helpful. Then, my second and final question is, maybe just looking down the road and through this mining cycle that we're experiencing at the moment, one of your peers that discloses aftermarket growth in the mining-related businesses is said that that business over the past decade or so has grown at about 7% a year. I'm just wondering if we're thinking about modeling for your business, minerals aftermarket sales growth, if that's a fair starting point in your view mid to upper single digits or if that's a structural reason why it would be different to that pier. Thanks.
Pekka Vauramo: I don't see that there's any structural difference as such we haven't done the number series, maybe we should do that, do that exercise to firm it up, but I would say that we see fairly similar things happening. What we have done organically is we have grown our life cycle services part of part of the business and there we have been growing faster than the market as such. But other than that, I would say that we've very much grown with the market and we've grown with the nature of the business as well. Then, of course, there are some drivers when we look into the future that where business is headed, and for example we know that filtration dewatering will be done more, also tailings will be subject to filtration, and that is relatively high aftermarket part of the business. So, we can expect some growth when we take a bit of a longer-term view, medium-term and long-term view on aftermarket.
Unidentified Analyst: That's great. Thank you very much.
Operator: The next question comes from Antti Kansanen from SEB. Please go ahead.
Antti Kansanen: Yes, thanks for taking a follow-up. Eeva, just a question on the cash flow that you already mentioned the prospects in the coming quarter, so, just coming back, is there any headwinds that would prevent you on reaching a lower working capital per sales going into back half of year? I understand the seasonality, but just a year-over-year comparison would you expect to release cash out of the working capital this year?
Eeva Sipila: That's very much the target. Of course, the headwinds in a way are that we as you see from our numbers, we are we are growing at very high rates. So, of course we have a natural need for working capital in order to keep our customer promises. And of course, compared to last year, there is a more inflation in the system but definitely working hard to turn the trend as the supply chain and the overall hassle risks have reduced. There's less need for buffers and extra checkpoints. So, we are very focused on delivering better cash flow this year, and working capital is really the other element that the profitability we have a good start on.
Antti Kansanen: And just to remind, if you remove this excess buffers and extraordinary items, what's the long-term level of working capital for sales that you are targeting and what are the self-help stuff that you are doing in order to get it a bit lower?
Eeva Sipila: I think the challenge, Antti, is in our business that when it is cyclical business, so there's not one number that will depend also on the cycle, for instance where we are in the aggregate cycle or mining cycle. But I think now the graph we had in our material, we're trying to work in a way that this is a business where we shouldn't be tremendously working capital heavy per se as a lot we work to orders rather than stock, but let's see if during Metso Outotec we've had three crazy years in supply chains, so I'm not sure I can expect the normal ever to come, but as I said, let's see where we get this year and certainly on a better level and it'll be easier to discuss if what the perhaps future normal could be.
Antti Kansanen: All right. Thank you. Juha Rouhiainen All right. We are approaching half past. And as mentioned, we'll have our AGM starting momentarily. So, we need to go to the meeting location and greet and welcome our shareholders and start the meeting shortly. So, this wraps up our first Quarter '23 results conference call. Thanks for participating. Thanks for asking questions, and looking forward to speak to you all soon again. Take care. Bye-bye.